Operator: Hello and welcome to the OceanFirst Financial Corp earnings conference call and webcast. All participants will be in a listen-only mode. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator instructions). Now, I would like to turn the conference over to Jill Hewitt. Ma'am please begin.
Jill Hewitt: Good morning and thank you all for joining us. I’m Jill Hewitt, Senior Vice President and Investor Relations Officer and I will begin this morning’s call with our forward-looking statement disclosure. This call, as well as our recent news release, may contain certain forward-looking statements, which are based on certain assumptions and describe future plans, strategies and expectations of the company. These forward-looking statements are generally identified by use of the words believe, expect, intend, anticipate, estimate, project or similar expressions. The company’s ability to predict results or the actual effect of future plans or strategies is inherently uncertain. Factors which could have a material adverse effect on the operations of the company and its subsidiaries include, but are not limited to, changes in interest rates, general economic conditions, legislative regulatory changes, monetary and fiscal policies of the US Government, including policies of US Treasury and the Federal Reserve Board, the quality or composition of the loan or investment portfolios, demand for loan products, deposit flows, competitions, demand for financial services on the company’s market area and accounting principles and guidelines. These risks and uncertainties should be considered in evaluating forward-looking statements and undue reliance should not be placed on such statements. The company does not undertake and specifically disclaims any obligation to publicly release the result of any revisions, which may be made to any forward-looking statements to reflect events or circumstances after the date of such statements or to reflect the occurrence of anticipated or unanticipated events. Thank you. And now I will turn the call over the our host this morning, President and Chief Executive Officer John Garbarino; Chief Financial Officer, Michael Fitzpatrick; and Chief Operating Officer, Vito Nardelli.
John Garbarino: Thank you, Jill and good morning to all who have been able to join in on our first quarter 2009 earnings conference call today. We are indeed pleased to have posted solid consistent earnings for the period when compared to both the linked and prior year quarters. During the past three months we have continued to demonstrate the ability to face the challenges posed by the economic climate and have fortified our balance sheet and capital positions in several ways. Not the least of these was our previously reported voluntarily acceptance of 38.3 million in preferred stock under the US Treasury capital purchase program. We appreciate your interest in our performance and are pleased to be able to review our latest operating results with you this morning. You have all had the opportunity to review our release from Thursday and following our usual practice I will not be disrespectful of your time residing a host of actual numbers from the release. My introductory comments will nearly help frame our opportunity to add some color to the earnings posted for the quarter and comment briefly on the strength of our balance sheet and the continuing challenging economic environment. Diluted EPS for the quarter was $0.30 matching the linked quarter and was $0.04 below the prior year quarter. The company's 49th quarterly cash dividend was declared and maintained at $0.20 per share unchanged for the 25th consecutive quarter. There were two unusual items in the quarter, there again was a small recovery of $34,000 in the reserve for repurchase loans established against potential continuing exposure from our 2007 mortgage banking shutdown as our experience there continued to be favorable. This was offset by a loan servicing asset impairment of $263,000 resulting from heavy pre-payments in the current mortgage refinance market. The quarter's earnings have again benefited from increased net interest income as the net interest margin grew to 3.47% as compared to 3.35% in the previous quarter, reflective primarily of liability cost decreases in the lower rate environment. Additionally, average interest earning assets increased $25.4 million reflecting our investment of the treasury capital purchase program stock. Although retail certificates of deposit remained difficult to attract given our disciplined pricing and our highly competitive retail market our core deposits increased 51.6 million, driven primarily by government deposits. Our core deposits currently comprise are growing 72.5% of average deposits. Our efforts to sublet office space previously occupied by Columbia continue to fall short of expectations in a worsening commercial office market. We have again supplemented the reserves associated with these vacant properties through the end of 2009, otherwise operating expenses were closely controlled and on the whole decreased a $161,000 even as our FDIC insurance expense increased $350,000, and our effective tax rate rose to 37%. In this market, we remain heavily focused on the strength of our balance sheet as opposed to being preoccupied with growth. Well capitalized by all standards prior to the treasury capital purchase program investment, which we accepted in January our tangible and core capital ratios grew to 8.27% and the banks total risk based capital ratio was 14.25% at the end of the quarter. A more common measure of capital adequacy cited these days especially for institutions in the capital purchase program, our tangible common equity capital ratio is a strong 6.39%. Our board voluntarily agreed to participate in the capital purchase program, to prudently fortify our balance sheet and capital position in these uncertain times, as well as support our lending initiatives. Both of these objectives have been accomplished as overall, our lending has increased 43% over the first quarter of 2008. While we are not pleased by this Sigma, which has attached to help institutions that participate in the treasury program, neither do we feel it prudent to return these funds to treasury until we have satisfied ourselves as to the ability of our company to withstand an even more hostile economic environment than currently exists. That stress assessment continues. As noted earlier, our cash dividend has been continued, unaffected by economic conditions for now. As we have fortified our capital position our board remains committed to a strong cash dividend policy, paid from current earnings for the benefit of our shareholders. I'll ask Vito Nardelli, our Chief Operating Officer to bring you up to date on our credit quality and increase loan loss provisions.
Vito Nardelli: Thank you, John. I'm sure you're all interested in hearing my perspective on our credit quality. As indicated in the press release, non-performing loans increased in the quarter by $3.7 million to $19.7 million or 118 basis points of total loans receivable. The increase is clearly a result of the deteriorated economic condition that was spread among all categories of loans, commercial, residential, and consumer. There were no specific patterns, which would indicate a systemic issue with any particular product line for underwriting characteristics. The two largest non-performing credits are unchanged from prior quarter. The largest is a commercial relationship of $2.1 million secured by real estate, which is now under a contract for sale that will yield repayment of virtually all the outstanding principles. The second is a $1.9 million commercial relationship that is well secured by real estate recently appraised at $3 million. Just as I have reported to you in the last two quarters regarding the one remaining loan to investors Solomon Dwek, in the amount of $480,000 secured by real estate, I will update you once again. The contract for sales that remains in force and under the control the bankruptcy trust date will provide for full repayment of outstanding principles upon closing. Of course we are concerned by the increase of our nonperforming loans, but we are not surprised, our commitment to credit quality and our strong credit culture remains unwavering. As has been our long-standing practice, we continue to closely manage the delinquency metrics of our entire portfolio and they remain favorable to the overall market statistics on a state, as well as national level. We are fortunate that the real estate values in our primary market area of Ocean and Monmouth counties have held up comparatively well to both state and national trends. As recently as yesterday, a front page article in the regional daily newspaper reported a relatively modest decline of 7% in the average sales price of homes since 2007. Likewise while we where not immune to the rises in unemployment and underemployment being experienced throughout the nation, our customer base has held us better than most. Given all that we know regarding the current economic environment, including the condition of the real estate market and recognizing the current level of non-performing loans, we have increased the provision for loan losses for the quarter to $800,000 that is up $200,000 from last quarter's provision of $600,000. During the quarter we realized net charge-offs that is $446,000 of which $366,000 where related to subprime loans originated by the shuttered Columbia Home Loans. All was specifically reserved for in the allowance for loan losses. With that I will return the discussion back to the CEO Garbarino for some concluding comments prior to engaging in a question and answering session this morning.
John Garbarino: Thank you Vito. As I have noted in the past with the fortified balance sheet and a strong belief in the credit quality of our portfolio, management feels well positioned to weather the continuing storm. Pundits continue to forecast that the worst for our market may lie ahead and given what we had experienced candidly we find it difficult to disagree. Much of our area has been spared the deep suffering experienced by other parts of the country although local trends in rising unemployment increasing delinquency and softness and real estate values are impossible to ignore. In closing, I'd like to again reflect on the extraordinary events our financial system has endured in recent months. Throughout this turbulent period, we have been continually challenged by the markets and unprecedented governmental interventions proffered to address the rapidly evolving issues faced by our country. During this time we have maintained solid consistent earnings and have used every means possible to strengthen our company, while preserving value for our shareholders. In many cases governments response has been inconsistent, lacking in details, and subject to criticism from many circles. The expectations of the year ahead remain clouded and our outlook continues to necessarily be cautious and restrained. Nevertheless, because of the actions we have taken, we feel better positioned today for the next round of crisis, which may lie ahead. We remain committed to evaluate every market opportunity as they emerge in our quest to generate value for our shareholders investment. With that message Nardelli, Fitzpatrick, and I would be pleased to take your questions this morning.
Operator: (Operator instructions) Our first question is from Frank Schiraldi of Sandler O’Neill. Please go ahead.
Frank Schiraldi – Sandler O’Neill: Good morning guys.
John Garbarino: Good morning Frank.
Frank Schiraldi – Sandler O’Neill: Couple of questions here, I wanted to start with just a question about the new FASB positions and how it relates to the balance sheet, particularly the question of whether our market is inactive or active, has that new guidance, do you think that that effects Ocean in any way or not?
John Garbarino: I hold, but Mike can answer it, but I will give you my impression of the top and he can give you the technical answer to it Frank. Of course we don't have an OTTI impairment, I think we feel that any benefit of that new guidance might be in helping clarify how you can measure the impairment and how you can allocate it between OCI and the income statement, but I will let Mike give you a technical response.
Michael Fitzpatrick: Yes Frank, we haven't adopted, we are going to adapt that as of the first quarter and we looked at it, it didn't affect as we used form our trust preferred, we use levels to pricing, we were able to get some, it was an activity in those – some sale activity – purchase of sale activity in those bonds of course it is primarily a big issue as you know it is Chase, Bank of America, etcetera. So there is an ability to get pricing on that or to get similar quotes and adjust them. So we – relative pricing and it didn't affect us at all in the first quarter, we don't expect it to have an effect in the second quarter when we adapt it either.
Frank Schiraldi – Sandler O’Neill: Okay thanks and then just trying to get a sense from – for our modeling going forward, in terms of expenses the salary – or the comp line was down pretty significantly from 4Q, can you just talk a little bit about and I guess this question is for Mike as well, you know talk a little bit about the quarter-over-quarter drop in comp line and sort of what we can expect as a decent run great going forward?
Michael Fitzpatrick: Yes there was two items in that, Frank we have done a little over 500,000, there was a decline in incentive plan expenses that was about $200,000 from quarter-to-quarter and then there was a decline of about $300,000 in capitalized cost related to lower originations typically when we have a very heavy loan origination period as we did in the first quarter due to refinancing, the counting is you capitalize cost that are related to the origination of those loans. So what happens in the first quarter was that a lot of the cost, the salary expense that is related to lower originations was capitalized more so that in the fourth quarter because the volume increased substantially. So with loan – it was loan origination cost compensation related that are capitalized. Now what happens is, it gets capitalized into loan and then when we sell the loan it reduces the gain on sale a little bit although as you could see our gain and sale was still pretty healthy for the quarter, but that gets capitalized into loan and you sell the loan and it lowers your gain on sale.
John Garbarino: And Frank, I will just add, the reduction in the incentive plan expenses directly related to the capital purchase program and the bullet there are top five senior executive officers talk with regard to the their potential bonus payments for the year.
Frank Schiraldi – Sandler O’Neill: Okay. All right, thanks. And then, also for modeling and then this is probably a tougher question, but is there – when you are looking at the reserves, John, you said that certainly for New Jersey and for your footprint, the worst could be in front of you, is there a number that you think of when you looking at the reserve for loan ratio that you think it will migrate forward?
John Garbarino: Well, there is not an absolute number Frank and in some cases we've been criticized because the people – some people would argue that our loan reserve looks a little thin. I think we spend a lot more time looking at the underlying quality of the credits and what they are already carried on on the balance sheet. So most of our non-performing really are residential mortgage loans, the real estate market is holding up extremely well locally and we are honestly feel that the provision that we make is directly related to what we feel we're going to need. So I don't think we're chasing a mythical number. I think we beat the position up certainly in the fourth quarter of ‘08 and certainly we bested up again in the first quarter of this year and we feel very comfortable with that provision. Now when you talk about stress testing the balance sheet, as market conditions change we will obviously evaluate the provision as we go along, but I don't think we have a mythical number. I mean if you assume the worst, I think it can get a lot worse than it is now. But so far, we have been pleased with the way – with the resiliency at the local economy.
Frank Schiraldi – Sandler O’Neill: Okay. And I guess just finally a follow-up to that, when you say real estate prices have held in very well, what about commercial real estate in the footprint, is that at the case as well?
Vito Nardelli: Yes, really is. Again, I mean – you see some signs of it, but you don't see the real heavy vacancies which you see – you don't see in the restaurant closings that you see elsewhere, Frank, as you know, I spent sometime out of the state in the winter time and I mean the areas that I go to are very, very heavily affected by what's going on and it always strikes me – the distinction strikes me when I get back on.
Frank Schiraldi – Sandler O’Neill: Okay. Thank you very much.
Vito Nardelli: Okay, Frank.
Operator: Our next question comes from Ross Haberman of Haberman Funds. Please go ahead.
Ross Haberman – Haberman Funds: Good morning, gentlemen, how are you?
John Garbarino: Hey, Ross. Well, how are you?
Ross Haberman – Haberman Funds: Good. I was wondering if you touched upon some write-downs on mortgage servicing, how big is your mortgage servicing asset and if we continue to see these low rates through the end of the year where we continue to see that level or more of write-downs.
Michael Fitzpatrick: Ross, the servicing asset was 6.7 million at March 31 and that write-down, we based on our point (inaudible) March 31 for example with 30 year mark – 30 year mortgage rate was 5%, we would have 5%. So based on that rate and the prepayment fees that are associated with that, we took a $263,000 write-down and then since that time, actually our rates were up a little – up from that time, but if rates go below 5 during the next quarter or two, then it's likely that there might be another impairment.
Ross Haberman – Haberman Funds: Okay. And just – I just have one other general question, how big is your participation exposure with other banks?
John Garbarino: How large is our top participation exposure?
Ross Haberman – Haberman Funds: Participation, on commercial or –
John Garbarino: Top on the brain these days with some softening. We have a very little. We – I don't believe we have any participation, we are not the lead lender.
Ross Haberman – Haberman Funds: Okay.
John Garbarino: We have participated some of credits out that we felt a little uncomfortable holding the majority of – and they all are mostly local institutions. We have no shared national credits, I don't believe we are along for the ride on anything we've win after lead. So we really – in essence, we have zero.
Ross Haberman – Haberman Funds: Okay. And (inaudible), just one final question. Did you have any trust preferred holdings on the asset side or pool trust preferred?
John Garbarino: Yes, no pool trust preferred, but we have a total of $55 million and that covered originally 11 issues.
Ross Haberman – Haberman Funds: Right.
John Garbarino: All major banks, for example, Mike alluded to it earlier, we've got 15 million with Banc of America, I think 5 million which Chase – 10 million which Chase, so it is – half of it is between BofA and Chase. They are all single issues, they are all subject to write-downs through our other comprehensive income, but there are no pool trust preferred securities and we don't feel if there is any permanent impairment or other than temporary impairment in the portfolio.
Ross Haberman – Haberman Funds: And you are carrying those generally what kind of level?
Michael Fitzpatrick: $0.52, I mean – $0.52 and a dollar at March 31, and that's in other comprehensive income.
Ross Haberman – Haberman Funds: Got it. Okay, thank you guys.
Michael Fitzpatrick: Thanks, Ross.
Operator: (Operator instructions). Our next question is from Julienne Cassarino of Prospector Partners. Please go ahead.
Julienne Cassarino – Prospector Partners: Hi, good morning.
John Garbarino: Good morning, Julienne.
Julienne Cassarino – Prospector Partners: And thank you for such a nice turn quarter, great. I was wondering if the OCI [ph] or other comprehensive income in additional 1.5 million loss, so is that from the trust preferred marks or other marks?
Michael Fitzpatrick: Yes, it declined a little bit during the quarter.
Julienne Cassarino – Prospector Partners: And it was just because of the trust preferred securities, there were no other–
Michael Fitzpatrick: No, we actually – we had some MBS purchases during the quarter, but those were – those actually gained grant by the quarter end, so the decline was just related to the trust preferred.
Julienne Cassarino – Prospector Partners: Okay. Okay, that (inaudible).
Michael Fitzpatrick: Right.
Julienne Cassarino – Prospector Partners: And I was wondering what the (inaudible) past dues were at the end of the quarter?
John Garbarino: We have that information Julie and we just had to dig it out of the file here.
Julienne Cassarino – Prospector Partners: Okay.
John Garbarino: There's been a – I will comment on it just generically – there has been a gradual up tick, but I don't think there is anything that is causing any severe along, something that we monitor and in fact we get even a little more granular than that, we monitored late charge income in terms of the intra-month delinquency and we’ve stepped up servicing even so far as that is concerned. But our 30 to – 30 to 89 was what you were looking for?
Julienne Cassarino – Prospector Partners: Yes.
John Garbarino: We are struggling with that, we may have to get back to you with that Julie and
Julienne Cassarino – Prospector Partners: No problem.
John Garbarino: Trying to get you an absolute percentage, we will give you a call.
Julienne Cassarino – Prospector Partners: Okay. And then just from – just to rise about the dividend discussion, you mentioned you think candidly that banks might get worse before they get better, but your underwriting is down, you had capital – I guess I am just wondering what kind of – is the dividend – can you talk about the dividend policy in light of..
John Garbarino: No, I will be happy to adjust it because it's something we spent quite a bit of time discussing that with our board, and the board met Wednesday and made the dividend declaration on Wednesday and there was quite a bit of discussion on the dividend. It’s our feeling that as a retail bank, that – especially in this market, that is one way that we can provide value for our shareholders. So we've always had a reasonably aggressive cash payout ratio for our dividend and we are willing to continue that. So as long as our earnings hold up, I would say the dividend is relatively safe but it will be evaluated each quarter on an ongoing basis. The payout ratio for this quarter was in the mid-60s, but we're – we're pretty good earner by those standards these days. If we see that suffer, then I think the dividend will come under more pressure. So in my comments I said we are willing to pay that of current earnings, I don't think we're willing to take it out of retained earnings, we recognize that building capital in this environment is also important, I think we've done a good job of that, but I think that as a retail community bank the dividend is important to our retail shareholders and so we recognize that responsibility.
Julienne Cassarino – Prospector Partners: Thank you.
John Garbarino: Okay.
Operator: Our next question is from Matthew Breese of Sterne Agee. Please go ahead.
Matthew Breese – Sterne Agee: Hi, guys. How you are doing?
John Garbarino: Good morning, Matthew. You?
Matthew Breese – Sterne Agee: Pretty good. I have a quick question, I noticed your tax rate went up somewhat and I am just wondering if you could talk about that?
John Garbarino: Yes.
Matthew Breese – Sterne Agee: And if that’s something that we can expect going forward.
Michael Fitzpatrick: Yes, that could be expected. The state tax expense increased – so that’s the effect, the federal is about the same, but the state tax expense increased and that's going to be the same going forward.
Matthew Breese – Sterne Agee: Okay, so the federal is the same.
Michael Fitzpatrick: Yes. To all end, it is – this type of tax rate will increase and that – that's a good effective rate going forward.
Matthew Breese – Sterne Agee: Okay, thanks very much guys.
John Garbarino: Thank you, Matt.
Operator: Our next question is from John Shibles - Regal Securities. Please go ahead.
John Shibles - Regal Securities: Hey, guys, how are you today.
John Garbarino: Good morning, John. We are well, how are you?
John Shibles - Regal Securities: I am doing fine. Couple of quick questions. Any additional expenses expected from – left over from Columbia?
John Garbarino: Oh, yes. They are still in the – on the expense side of the ledger. We still have some legal expenses associated with actions that we are pursuing. We are still as I mentioned in my comments Scott [ph] reserves set up for the vacant office space that was stuck with Long Island and up in Westchester, and while we have provided for that through year-end, some of those leases go beyond that and there could be additional expenses if they are not in fact sub lift. The problem as you know is trying to sub lift commercial office space today is a difficult proposition. But our professional fees are still higher than we would like to see, we actually had a little break in the first quarter, where we were a little under budget as far as that was concerned, we're expecting that to return in the second quarter just because of the timing differences.
John Shibles - Regal Securities: Can you elaborate on the legal expense side?
John Garbarino: There is a number of different actions that we have pending against brokers that dealt with Colombia, and there's a number of different initiatives that be have there, at some point there may be some recoveries that are generated, but it's too early to speculate on that.
John Shibles - Regal Securities: Okay. As of last quarter, you had written-off the office space to the third quarter, so you are just adding one quarter?
John Garbarino: Yes, yes. So we are through the end of the year at this point.
John Shibles - Regal Securities: And if I recollect, the space in Long Island comes off lease this year, correct?
John Garbarino: Yes, there is – that's one of the smaller pieces that comes off lease at the end of the year. But the big piece up in Westchester continues I believe–
Vito Nardelli: 20/11.
John Garbarino: 20/11.
John Shibles - Regal Securities: Okay.
John Garbarino: But there is still a bleed through there with those expenses. It’s not – because it's pretty consistent now from quarter-to-quarter you don't see it, but we feel it.
John Shibles - Regal Securities: Right. Many planned on expansion new branches.
John Garbarino: We had no – I shouldn't say we had no, we always have some branches in the pipeline, but as you know in New Jersey it's very difficult to get approvals and right now I guess we've got three or four of that we are pursuing approvals on and they will come online at some point, but I don't think we have anything that we feel is going to come online this year.
John Shibles - Regal Securities: Okay. Are those in Monmouth or?
John Garbarino: Yes, they are all within the – pretty much the existing footprint. We got the couple in Monmouth, we've got another one in Ocean.
John Shibles - Regal Securities: Okay. The $2.1 million non-performing loan, that – when do you expect closing on that? The one that filed up with the bankruptcy.
John Garbarino: That’s not in bankruptcy, the direct loan is going into some bankruptcy.
John Shibles - Regal Securities: Okay.
John Garbarino: It’s – the 2.1 was a different loan and
Michael Fitzpatrick: We are anticipating coming to closure within this next quarter.
John Shibles - Regal Securities: Okay.
Michael Fitzpatrick:
 – :
John Shibles - Regal Securities: Okay. And then just going back to the trust preferred, I have this correct a 55 million, you marked it down to 28.6 and last quarter it was maybe 30.5?
Michael Fitzpatrick: Yes, 28.6 is right, $0.52 [ph] last year was – this 55 million was 31.7.
John Shibles - Regal Securities: Okay.
John Garbarino: During this past quarter, BofA actually fell out of the investment grade, so the 15 million of BofA actually lined up to be rated down to BB and so that technically it's a classified asset on our balance sheet.
John Shibles - Regal Securities: Can I call [ph] expense, I can go through that portfolio another time.
John Garbarino: Sure, by all means. Mike, you can call anytime.
John Shibles - Regal Securities: Thanks guys for your help.
John Garbarino: Thanks, John.
John Shibles - Regal Securities: Have a good day.
John Garbarino: Bye.
Operator: Our next question is from Frank Schiraldi of Sandler O’Neill. Please go ahead.
Frank Schiraldi – Sandler O’Neill: I just have one follow-up, if I could, just wanted to ask – trying to get a sense of the margin in the near term here going forward, I wondered if you had the margin for just March, and if there was remarkably different than the margin for –
John Garbarino: You mean the current run rate in March?
Frank Schiraldi – Sandler O’Neill: Right.
Michael Fitzpatrick:
Frank Schiraldi – Sandler O’Neill: Right. Okay, thank you.
Operator: (Operator instructions). We show no further questions at this time. I would like to turn the conference back over to Mr. Garbarino for any closing remarks.
John Garbarino: Thank you, Camilla [ph]. We appreciate your question this morning. We appreciate the fact that we think we’ve delivered a solid quarter in some – under some very difficult circumstances and we hope to do the same thing when we speak to you next in July. Thank you for your interest and have a good day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.